Operator: Ladies and gentlemen, thank you for standing by. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Schwazze Second Quarter Conference Call. All lines have been placed on mute to prevent any background noise. At this time, I would like to turn the conference over to Joanne Jobin. Please go ahead.
Joanne Jobin: Thank you, operator. Greetings, and welcome to the 2022 Second Quarter Conference Call and Webcast for Schwazze. We are being hosted by Justin Dye, Chairman and Chief Executive Officer; and Nancy Huber, Chief Financial Officer. Following their presentation, management will take questions submitted via the web link found on Schwazze's Investor Relations website and in the earnings press release. I would also like to remind you that Management's prepared remarks and answers to your submitted questions may contain forward-looking statements, which are subject to risks and uncertainties. Examples of forward-looking statements include, among others, statements regarding federal and state legislation and regulation and Schwazze's future results of operations and financial position, business strategy and plans and objectives for future operations. Such forward-looking statements may be preceded by the words plan, will, may, continue, anticipate, become, build, develop, expect, believe, poised, project, approximate, could potential or similar expressions as they relate to Schwazze's. Investors are cautioned that all forward-looking statements involve risks and uncertainties that may cause actual events, results, performance or achievements to differ from those anticipated by Schwazze at this time. Additional information concerning factors that could cause events, results, performance or achievements to differ materially is available in Schwazze's earnings release made available before this call and available on Schwazze's Investor Relations website and in Schwazze's Form 10-K for the year ended December 31, 2021. In addition, other information is more fully described in Schwazze's public filings with the U.S. Securities and Exchange Commission, which can be viewed at www.sec.gov on www.sedar.com or on the company's Investor Relations website. Also, Schwazze's may discuss non-GAAP financial measures during today's call. A reconciliation of the differences between the non-GAAP financial measure discussed during the call with the most directly comparable GAAP measure can be found in Schwazze's earnings press release made available before this call and available on Schwazze's Investor Relations website. I would now like to turn the call over to CEO and Chairman, Justin Dye.
Justin Dye: Thank you, Joa. Hello, and thank you for joining us this afternoon. I will provide a business update and our CFO, Nancy Huber, will review our quarterly financial results in detail before I conclude our presentation with some final thoughts. We would then be happy to take your questions. For the second quarter of 2022, Schwazze continued to outperform the market despite a challenging environment in Colorado. Our team has continued to nurture a vision of becoming the most admired cannabis company by making a difference in our communities and providing trusted products, brands and experiences that improve the human condition. Our growth plans remain on track. And despite challenges for the entire industry, we maintain our conviction in our long-term plan of building a regional powerhouse, developing scale with a customer-first approach, curating a distinguished house of brands that are driven by passion for innovation, craftsmanship, efficiency and teamwork in leveraging data analytics and technology to drive decisions. As we continue to navigate the lingering effects of the pandemic and now broader economic inflation as well as a challenging environment in the Colorado market, our team members delivered a record quarter in terms of revenue growth and adjusted EBITDA growth. And for that, I'm very proud. I would like to thank all of our team members for their commitment to our customers, hard work, enthusiasm and their commitment to driving operational efficiencies. Since December of 2021, Schwazze has added 15 cannabis dispensaries to its retail network, 10 in New Mexico and 5 in Colorado as well as 5 cultivation facilities, including 4 in New Mexico and 1 in Colorado and one manufacturing asset in New Mexico. Our accomplishment since December 2021 include -- on June 1, we announced the closing of the announced the acquisition of all assets of Urban Health and Wellness, which included an adult-use all the dispensary located in Denver's Vibert Highlands neighborhood and 7,200 square foot of indoor cultivation capabilities. On March 23, the company's common stock commenced trading under the symbol SHWZ, on the NEO Exchange a Tier 1 Canadian Stock Exchange based in Toronto, Canada. On February 16, we announced the acquisition of the assets of Brow 2 LLC, a Denver-based cultivation asset, which includes a 37,000 square foot building for indoor cultivation and equipment. In February, we also acquired the Emerald Fields brand, the owner operator to retail cannabis dispensaries located in Manitou Springs in Glendale, Colorado. We officially became a regional MSO when we acquired the New Mexico operating assets of Reynold Greenleaf & Associates, LLC, and the equity of Elemental Kitchen & Laboratories, LLC, and we also strengthened our New Mexico management team. This transaction included 10 Greenleaf licensed medical cannabis dispensaries, the all-Greenleaf brand, 4 cultivation facilities, 3 operating, 1 in development and 1 manufacturing location. In late January, we announced the acquisition of the assets of Drift, which consists of 2 cannabis dispensaries located in Boulder, Colorado. We continue to develop our decentralized operating system that fosters local management oversight, agility, efficiency and responsiveness to our customers and local communities. Most importantly, we continue to build out our house of retail brands in Emerald Fields and our Greenleaf dispensaries and expanding the Purplebees date brand in both Colorado and New Mexico. Last quarter, we also announced a license agreement with Lowell Farms to manufacture and distribute Lowell smokes, a premium line of pre-rolled joints to dispensary statewide in both Colorado and New Mexico. We expect to begin sales to commence in Q4 of this year 2022. We continue the construction of our Colorado distribution center as part of our retail wholesale playbook expansion, which is expected to be operational in Q4 2022. On April 1, 2022, Schwazze commenced selling both recreational and medical cannabis in New Mexico. We can report that New Mexico sales have increased 30% over prior year's quarter 2 for the same-store sales. We are pleased with these results and continue to see sales growth month-over-month. We have plans to open additional stores throughout the state this year and next, adding coverage areas where we currently do not have dispensaries. Our revenue for Q2 totaled $44.3 million compared to $30.7 million in the same quarter 2021, representing an increase of 44%. We generated net income for the second quarter of $33.8 million compared to net income of $4.4 million for the comparable quarter in 2021. The company's adjusted EBITDA for the quarter was adjusted EBITDA for Q2 2022 was $15 million, representing 33.9% of revenue. We're also pleased to report that despite industry pressures, retail sales were $38.1 million, up 77% compared to the same period last year. Colorado 2-year stacked IDs for quarter 2 2022 compared to quarter 2 2021 and quarter 2 2020 for same store sales were 1.8% and one year IDs were down 12.7% comparing Q2 2022 to Q2 2021. Average basket size for quarter 2 was $59.98, we are down 4.1% compared to quarter 2 2021. Recorded customer visits for Q2 2022 totaled 444,771 down 8.9%, compared to quarter 2 2021. New Mexico, 2-year stacked IDs for quarter 2 2022 compared to quarter 2 2021 and quarter 2 of 2020 for same-store sales were up 41%- and 1-year identical were also up 30.4% when comparing quarter 2 2022 to quarter 2 2021. Average basket size for quarter 2 was $54.56 down 12.7% compared to quarter 2 2021. Recorded customer visits for quarter 2 2022 totaled 209,591 up 49.4% compared to quarter 2 2021. While basket for both Colorado, New Mexico were down quarter-over-quarter, distributed really attributed to macro events and previous year's stimulus spending and inflation. We're pleased to report that we once again outpaced the state of Colorado for the quarter by 11%. I think this is a remarkable achievement when you consider the challenges faced by the industry at this time. As stated in our reported last quarter, we believe that we will continue to cycle COVID 19 retail numbers for the first half of this year, and we will anticipate growth in Colorado market to continue to be challenging the rest of the year due to increased cultivation capacity in the state, which has resulted in oversupply of wholesale cannabis biomass. However, we are benefiting from the recreational market in New Mexico, which assisted in offsetting that slower growth. The quarter, we generated approximately 86% of our revenue from retail. We expect the contribution from the retail segment to continue to grow as we add to our dispensary count and see additional growth in recreational sales in New Mexico. Through the implementation of our operating playbook, we continue to effectively contribute to growth and efficiencies at our manufacturing and retail locations. In retail, we continue to review our product categories, aligning product assortment across our dispensaries and working with our vendors to promote products and work with our vendors to recognize savings as we move to a DC model in Colorado. We have revenue the drift in the smoking gun stores to Emerald Fields and Starbucks and completed remodels in the drift dispensaries. We expect the smoking gun location remodel now revenue to Starbuds, will be completed this quarter. All 3 dispensaries are experiencing increased revenue and traffic that we attribute to these activities. As for the federal and state government laws regarding cannabis legislation, we cannot report once again that there's been no significant movement or changes on the federal ex basis. We believe we're positioned to take advantage of any positive new look in federal legislation. And on a positive front, more states continue to legalize both medical and adult-use cannabis. As always, we'll stay close to federal and state changes that would impact our industry, and we believe we're poised to succeed in that as things change. We will continue to evaluate additional opportunities across the cannabis industry in the areas of cultivation, manufacturing and dispensaries in both our home states and others. Our current criteria for potential acquisitions includes revenue growth or growth potential that exceeds the applicable state's averages EBITDA profitability with synergy opportunities, attractive acquisition prices that are accretive to our shareholders, provides high-quality branded products and attractive retail locations. Any announcements regarding expansion intentions will be made once we've reached definitive agreements with prospective partners. And now I'd like to turn the discussion over to Nancy Huber to continue our financial review. Nancy?
Nancy Huber: Thanks, Justin. I'd like now to review our financial results for the second quarter of 2022. As Justin mentioned earlier, Schwazze reported revenues of $44.3 million, an increase of 44% compared to $30.7 million in the second quarter ended June 30, 2021. The revenue for the quarter included retail sales of $38.1 million, wholesale sales of $6.1 million and other operating revenue of $44,000. As a reminder, we added Emerald Fields, Drift, Brow 2 and New Mexico in late January and mid-February this year as well as the recent urban wellness asset purchase, which closed in June. In addition, New Mexico added recreational sales in Q2 of this year. Much of our revenue growth this quarter over prior years due to these acquisitions and the change in regulation in New Mexico. Wholesale revenues decreased due to an oversupply of wholesale cannabis in Colorado, driving down pricing and overall decreases in the Colorado market. Total cost of goods and services for the quarter totaled $19.1 million compared to cost of goods and services of $15.8 million for the same quarter in 2021, representing an increase of $3.3 million or 21%. The increase in cost of goods is driven by the increase in revenue, however, not at the same rate. In the quarter, the company experienced a reduction in costs driven by vertical integration and third-party price negotiations. Gross profit increased to $25.2 million for the quarter compared to $14.9 million during the same period in 2021. Gross profit margin increased as a percentage of revenue from 48.5% to 56.8%. And net of purchase accounting, the gross margin increased to 57.4%. This positive result net of purchase accounting, continues to reflect our consolidated purchasing approach, the implementation of our retail playbook and the vertical product sales in New Mexico. Operating expenses for the quarter totaled $16.1 million compared to operating expense of $10.5 million during the same quarter in 2021, representing an increase of $5.6 million or 54%. This increase is mainly due to increased selling, general and administrative expenses, professional service fees, salaries, benefits and related employment costs, driven by growth from the acquisitions. Other income for the quarter totaled $29.2 million compared to $0.2 million for the comparable quarter in 2021. Representing an increase in income of $29 million or 18,435%. The increase in other income is due to the revaluation of the derivative liability related to investor notes, offset by higher interest payments. The company generated net income for the quarter of $33.8 million compared to net income of $44 million in the same quarter of 2021. Basic earnings per share were $0.65 for the quarter versus $0.10 for the prior year's quarter, and diluted earnings per share were $0.24 for Q2 of 2022 versus $0.08 for the prior year. Adjusted EBITDA for the quarter was $15 million, representing 33.9% of revenue compared to $10 million and 32.6% of revenue for the same period last year. This is derived from operating income and adjusting onetime expenses, merger and acquisition and capital raising costs, noncash related compensation costs and depreciation and amortization, see the financial table for adjusted EBITDA in our press release for the details. For the 6 months, the company used cash for operations of $8 million compared to generating cash of $1.4 million for the same period in 2021. Schwazze currently has cash and cash equivalents of $33.9 million at the end of the second quarter, and we expect to generate positive cash flow net of acquisition costs for the year. Turning now to the outlook for 2022. Our Q4 2022 run rate projected revenue guidance was revised to reflect the current industry challenges. Guidance for our fourth quarter annualized run rate, including transactions that are announced but not closed, is now projected to be approximately $175 million to $200 million. And the projected fourth quarter adjusted EBITDA annualized run rate is projected to be from $60 million to $72 million. Our Q4 results are usually affected by seasonality, with Q4 being one of our lower revenue quarters, and our guidance reflects that. Despite the industry pressures, we remain optimistic that 2022 will continue to be another pivotal year as we integrate and synergize our recent acquisitions and continue our expansion and M&A plans. Thank you for your time today. And now I'm going to turn it back to Justin, who will open the call to questions and answers.
A - Joanne Jobin: Okay. So I'm going to open up the Q&A as I am going to be moderating. The first question is, and I'm going to swing this over to Justin, and I hope he's still on the line. It sounds like he had disappeared there. How many acquisitions since the new year or the acquisitions closed? Justin, are you there?
Justin Dye: I am here, Joe. Sorry, I had everybody on mute. My apologies.
Joanne Jobin: No worry.
Justin Dye: I wanted to thank everybody for their continued support and interest in Schwazze. It is a great industry, and we're having a little bit of challenges in our home market of Colorado, but the team is executing very, very well, and we continue to grow market share and execute. We're very bullish on Colorado, and we're bullish on New Mexico and continue to grow versus our plan. So with that, we are #1 in Colorado and as we continue to acquire things. Since December of 2021, Schwazze has acquired or announced the planned acquisition of 16 cannabis dispensaries as well as 5 cultivation facilities and one manufacturing asset in Colorado and New Mexico. In the first quarter alone, we closed 14 dispensaries and 1 in the second quarter. We continue to have a good pipeline. However, as you can see by the past year, we're viewing the announcement and closing acquisitions takes time. In our case, they all close literally within the same quarter. We continue to look forward to expanding both in Colorado and in New Mexico. And as I said, our pipeline is very healthy, and our investors should continue to expect us to announce acquisitions and grow organically with new stores, new products as well. I'll turn it back to you, Joe.
Joanne Jobin: Thank you, Justin. Okay. Next question, and I can hear you smiling from here, Justin. How do you keep outpacing the state results in Colorado, that 6 quarters in a row now, quite impressive considering the state is down once again.
Justin Dye: We actually outpaced the state by 11% this quarter, and that's really our dashboard to see. Are we growing versus the backdrop of our market. And proud to say the team did a nice job this quarter. We're going to continue to focus on that. We're executing a proven strategy of going deep, staying focused, acquiring very good businesses that are accretive and we're very diligent on getting the right synergies and launch of products. And that strategy works and it has worked over the last couple of years since we've been working with Schwazze. The team is applying good old-fashioned execution and doing what they say they're going to do and proud of that, both on the manufacturing front, wholesale front and also on the retail front. And we'll continue to work on our playbook to -- we see a lot of upside and a lot of efficiencies that are available to us to make the business stronger and better. And we're looking forward to the rest of the year here. So I'll turn it back to you, Joe.
Joanne Jobin: Thank you, Justin. Nirup, here's one for you. Wholesale numbers continue to go down. Can you comment on this market?
Nirup Krishnamurthy: Thanks, Joanne. Yes, in Colorado, I think you're referring to Colorado. In Colorado, the wholesale market is distressed this year, primarily due to oversupply in cultivation last year and which resulted in an oversupply of distillate. Obviously, that has driven the market down in terms of pricing. And we are feeling the effects of that on the wholesale side. However, it has helped us on the retail side with margins. So we believe that over a period of time here, this will settle down and the pricing will stabilize over the course of the next 12 to 18 months here. And we believe it will be back to a new normal. It may not be as high as it was before, but it will definitely be higher than what it is today. I mean clearly, what we are doing is focused on reducing our operating costs and the manufacturing and cultivation to ensure that we have the best quality products at the lowest price possible so that we can ride through this market here. Back to you, Joanne.
Joanne Jobin: Thank you, Nirup. Obviously, we've got a lot of questions on guidance this quarter as we revised our guidance downwards. Nancy, do you have any additional color on that question?
Nancy Huber: Yes. Thanks, Joanne. So we did restate our guidance down to $175 million to $200 million in revenue. We have seen the Colorado market be more challenging than we had originally anticipated for this period of time. So we adjusted for that. New Mexico is a little bit slower than we anticipated in the start, although as we've said, we've continued to see those numbers increase month-over-month. So we believe we'll hit our eventual target but whether we're there by Q4 or not, I think it will take maybe a little bit longer. And then we are planning to open a number of stores down in New Mexico as well. And those probably just won't be up to the run rate we had anticipated in Q4. So that's part of what's adjusting our guidance downwards.
Joanne Jobin: Thank you, Nancy. And while I've got you here, let's talk about cash flow. It tends to be a big topic. Do you have enough cash? And are you generating cash?
Nancy Huber: Yes. So we expect to generate cash flow net of acquisitions this year. The first half has been negative, but we anticipate the second half will outpace that, and therefore, will be positive for the year. We're focused, as everybody is on making sure that we're rightsized in our SG&A area. And so we've been very judicious in investing in those areas as well as in capital, taking a good look at our capital strategy spending for the rest of the year, and we've cut back a little bit on that, but not significantly just enough in areas where we felt the return wouldn't be felt quite as quickly. So we've made some adjustments there. But the balance sheet is strong, and we have ample liquidity. And as I said, will drive positive cash flows net of acquisition for the year.
Joanne Jobin: Excellent. Thank you, Nancy. And I'm going to swing it back over to Justin. Justin, perhaps you can speak to inflation and how that is impacting sales or is expected to impact sales for the remainder of the year?
Justin Dye: I think as -- when we think about the U.S. consumer, we think about our consumers in Colorado and New Mexico, we see a little bit of price pressure at retail. I mean we've invested in lower pricing, lower that. We've had some hotter promotions and certainly being competitive with the market. But I would tell you, we still think -- we still really believe cannabis is recession resilient. That mean that you won't see a little bit of trading down, but I think it's a very safe sector for us to be in. People are focused on the category. It's important to them in good times and bad times. And I think we're going to be fine. I think labor is still very strong. So it's sort of a mixed environment. But what we're seeing is certainly on the oversupply side in Colorado from growers, we've been able to work through that and take that -- really use that to our advantage on the retail side. And we've been able to drive more productivity, meaning drive more efficiencies and more cost out faster than we've seen any issues there on the COGS side. We wouldn't see any inflationary pressure whatsoever. So, so anyways, I would say the industry is well positioned. I think the team did a nice job to continue to work on SG&A and efficiencies and driving lean process and big cost out of the business. I think we'll be set up for -- I think we're going to have a very good second half of the year. And the good news is we don't -- we've got a very good balance sheet and we really don't need a tap capital markets, either equity or debt for some time, so we can wait out and we're going to see how the environment evolves over time, particularly capital markets.
Joanne Jobin: Excellent. Thank you, Justin.
Justin Dye: Thank you, Joe.
Joanne Jobin: Thank you. Nirup, I'm going to swing this one over to you. Now that you are fully vertical with grow operations. Can you discuss how you expect this to impact your sales and products going forward?
Nirup Krishnamurthy: Yes. In Colorado, again, we secured cultivation farms this year, and we are starting to infuse some of the products -- some of the flower from our grows into our own stores. So our strategy is pretty simple, grow the best flower and have a portion of our assortment through internal means. And in addition to that, we will be developing products both in flower and on the CPG side over the course of time, again, to diversify our product portfolio and take it to both our retail and wholesale markets in Colorado. In New Mexico, we are already fully vertically integrated. The acquisition we made was fully integrated and pretty much all our products in our stores in New Mexico come from our own manufacturing and growth facilities.
Joanne Jobin: Thank you, Nirup. All right. Nancy, here's a question for you. The improvements that you've seen in product margins and revenues continues to be impressive. Do you think you can continue this trend?
Nancy Huber: We are very focused on driving product margins. Revenues in the short term are going to be challenging as growth is not as exciting in this area as we wanted it to be, and you're seeing some pressure on that. But in terms of product margins, we're really focused on the verticalization in Colorado and helping growth -- push that margin through our chain as well as working with our supply-side vendors to reduce costs as well. And so we anticipate that we will have margin available to us. Now whether we actually take that to the bottom line or we use that to drive growth through pricing will depend on the situation, but we believe we'll be driving improved costing in the system that will allow us to be flexible in the margin -- in the market because of that.
Joanne Jobin: Thank you, Nancy. And now we've got a question regarding, I would say, inflationary pressures and also the COVID aftermath. Has there been any challenges with hiring stock? Have you had to increase wages to be competitive? And if so, how will that impact operating results?
Nancy Huber: Nirup, why don't you take that one.
Nirup Krishnamurthy: Yes. So hiring in this environment is always a challenge, but we have been lucky so far. We have had good retention and we have not had to significantly revise our pay structure in either retail and/or grow operations. But as we look at the market and make sure that we are in line with market. We may make some adjustments in the future, but we have had good labor workforce. They are over 725 people in the company at this point in time. And we are very focused on ensuring that they have a sort of productive work environment and are happy working here at Schwazze.
Joanne Jobin: Thank you, Nirup. And I know you've answered this question before, Nancy in a roundabout way with your other answers. But this question always comes up. What sort of opportunities are you seeing in regards to refinancing your current debt?
Nancy Huber: Yes. So we're constantly talking to people. In fact, my treasurers are working today and said she thought there's another group out there that we should be talking to. So we're constantly talking to groups about opportunities to refinance as everyone is aware, the interest rates are going up. So finding anything that will make sense for us in the short term may not be possible. But we're always looking for opportunities. Adjustment inferred, none of our debt is coming up for payment in any rush. We have 2 to 3 years on all of our debt. So we -- like I said, we're constantly shopping. And if the opportunity arises, we will take advantage of it.
Joanne Jobin: Excellent. And we have someone that's got some questions in regards to product, in particular, Lowe Farms and the relationship that we have and what product lines we intend to carry. They have a new product line called Lowe 35, but that requires a special machine. For example, how would they allow their partners to use that machinery and that machine? Or would they fear that we would take advantage and lose the IP or at least a competitive advantage? When can we expect more acquisitions? And how many by the end of the year? So it's a 2-part question.
Justin Dye: And Nirup, why don't you handle the Lowe Farms component, then I'll talk a little bit about the acquisition side.
Nirup Krishnamurthy: That sound good, Justin. So we have an agreement with Lowe Farms to be the exclusive distributor of a few of, of 3 of their SKUs in the Colorado and New Mexico market. We have, in this first round, our dispute that we are launching are essentially, they're pre-rolls. We have the -- we have the singles, which is a 1 gram pre-roll. We have the Lowe quicks, which is, again, a 3.5-gram minis or dog walkers, as we call them, which is the 10 pack. And then we also have another 3.5 gram SKU called lower smokes, which is a 1 gram pre-roll. And so we are -- those does not require any special equipment from a customer standpoint. But Lowell has provided us with all their SOPs in terms of how to produce and they've been very, very cooperative, and we are happy they are excited to be working with them and launching their products here in Colorado and New Mexico shortly sub beginning fourth quarter here. Justin, back to you.
Justin Dye: Yes. Thank you. We're really continue to operate and execute against our strategy, and we're going to continue to look for product opportunities where we can partner with great brands like Lowe Farms. We're going to continue to look at dispensary locations to continue to build out the state. And just to remind everyone, we have 23 stores in Colorado, and there's more than 600 adult-use cannabis dispensaries in the state. So we have a lot of room for growth, and we're going to continue to do what we have been doing in finding really good locations and using our playbook to brand them and bring our products and bring in great assortment and service to do that, and we're doing the same thing in New Mexico. We have a handful of stores that we will be talking about in making public as we open some new stores down in New Mexico this year as well as we're looking at acquisitions. So we're going to stay focused on these 2 areas and continue to deepen our product capabilities, deepen our dispensaries and being able to serve the market and we're going to continue to do that. And then we'll look at if there's other regional opportunities down the road that makes sense with our strategy and makes sense from a geographic focus standpoint, we'll look at other states down the road. But right now, we're going to continue to do what we're doing in Colorado, New Mexico, and there's plenty of growth in those 2 areas for us to continue to grow the company. So that's the game plan.
Joanne Jobin: Thank you, Justin. And as we're hitting the quarter of an hour mark, we're going to start wrapping things up. We do have one more question. This is a question that comes up on every conference call that we do. And that is what is the plan for the company in 3 to 5 years? Where do you expect to be -- could a buyout be in the works, Justin?
Justin Dye: We really don't talk about speculation around deals and things like that. But what I would say this, as for our team members, for our management team, for our Board and for our investors, we have a very attractive company. We're going to continue to make it better and stronger and continue to get closer and closer to our wholesale customers and continue to get closer to our retail customers. And we think that creates tremendous value. And we think brands are built at retail locations. And we think retail locations are incredibly important in building brands in driving stickiness to customers and really building a great company. So we're going to continue to focus on that. I think in the next 3 to 5 years, you can certainly see us being a regional operator and continuing to acquire and grow organically and do that in the markets that we serve. I think we certainly are welcoming a safe banking move at the federal level basis. We think that would give us a lot more freedom and frankly, it takes cash out of the stores, which is very dangerous for our associates. So we think that's a good move. And then we may be on the list in the New York Stock Exchange or the NASDAQ down the road, and that would give us more presence and more liquidity and more visibility. Certainly, we could continue to acquire things and stay in the platforms or stay in the stock exchanges we're in today. I know this. If we continue to build a good company that's focused on customers, it has a great management team and create great opportunities for our team members and taking care of customers. All of that just continues to work together, and we're going to create something really valuable and how we monetize that, how that gets -- whether we merge with someone or buy someone or take it up uplifting to one of those other exchanges. We don't know, but we're open to exploring that, but we're going to continue to focus on what's been successful for us. And I expect this to have a really good rest of the year. And we'll continue to do that until we get some federal help. And when that happens, we'll be ready to take advantage of it. Joe, do we have anything else? If not --
Joanne Jobin: Thank you very much. Justin, I was going to ask you if you had a few final remarks before we ended the call today. But I think you pretty much said it all in that last question, you said it very well, as a matter of fact. So I -- with that, I would like to thank everyone for joining us today. And if you have further questions, please feel free to submit direct me at info@schwazze.com. This now ends the conference call for Schwazze. Good day, everyone.
Operator: Ladies and gentlemen, thank you very much for your participation. We ask that you please disconnect your lines.